Anette Olsen: Good morning, everybody, and welcome to this third quarter 2025 presentation. My name is Anette Olsen. I am the CEO of Bonheur and Fred. Olsen & Co. As usual, today, Richard Olav Aa, our CFO, will start the presentation going through the main figures and then the different CEOs for the individual companies will present to you. And we will take questions and answers at the end. Today, we have Samantha Stimpson with us, the CEO for Fred. Olsen Cruise Lines. So she will also present to you. So welcome. Richard, I give the word to you.
Richard Olav Aa: Yes. Thank you, Anette, and also a hearty welcome from me to this third quarter presentation. Before we go into the numbers, I would like to give some reflections on the report. I think the Bonheur Group of companies delivered a solid set of numbers this quarter. But we can also say that there are room for improvements in the numbers. We see cruise lines improving utilization, but still room to grow. We see Windcarrier, vessel at yard also this quarter, and we also see downtime in renewables. So yes, a good set of numbers, but definitely more room to grow the earnings on existing assets. So with that in mind, we can move over to the highlights. And my colleagues will go through the main strategic and operational highlights of the quarter within each company. So I will limit myself to comment on the more financial aspects of the highlights. But starting on renewable energy, reporting an EBITDA slightly below last year, some NOK 40 million plus NOK 40 million down on EBITDA, mainly related to reduced generation and reduced prices of REGO that Sofie will cover in more detail. Things to be aware on the financial side that there will be a grid outage on Midhill now this winter, Midhill being a significant wind farm. So that will impact earnings and EBITDA going forward. And then we'll be notified on another downtime next winter. And these downtimes don't have any automatic compensation and [indiscernible] works heavily on mitigating actions on this downtime, especially the second one, which will come -- Sofie will come back to. But no doubt, if they last as long as they are stated there, they will have impact on the earnings going forward. Wind Service, an EBITDA from -- up from NOK 435 million to NOK 577 million, which is coming off of a good operational quarter, both in FOWIC and also in GWS. I'll come a little bit back to the underlying improvement in Wind Service on the next slide because there are some special items both last year and this year. I'm also happy to see the backlog increasing and 2 new contracts signed, and it's the firm contract that is reflected in the backlog, while the reservation agreement is not reflected in the backlog. Haakon Magne will cover that more in detail. On Cruise, I will leave that to Samantha, but all in all, an improved quarter. EBITDA up with close to NOK 100 million coming off improved occupancy yield and good cost control. Then in the other investments, NHST continued to deliver healthy results and the margin levels are at higher levels than we have seen in this company before. Also under other investments, we had a refinancing of a NOK 700 million green bond this quarter. utilizing a healthy market and also utilizing the Bonheur Group of companies good standing in this market, we were able to place that bond at the lowest spread we have ever seen of 215 basis points above NIBOR. Fred. Olsen 1848 will present later by Per, continuing to progress technologies. And today, we will cover more detail on the floating solar. Moving on to the segment analysis per third quarter '25. We have showed you these graphs a few quarters now. We think they are very good to also focus on how the group develops in the longer term. Maybe not so much reflection on the revenue side this quarter, but on the EBITDA side, where this quarter is another quarter that builds on the momentum we have seen coming out of COVID where we have been able to lift the running EBITDA of the Bonheur Group of companies to a level actually on an average, somewhat north of NOK 3.5 billion on a 12-month rolling basis compared to pre-COVID of around NOK 1.5 billion plus. And we see all 3 segments have significantly better earnings than pre-COVID, especially the Wind Service segment. Yes. Briefly comment on revenue and EBITDA per segment. We have covered the EBITDA already, but there are a few items to note, especially on Wind Service, which I mentioned on the previous slides. We see on Wind Service that the revenues are down by NOK 281 million and that is really related to that in the third quarter last year, we had a big contract with the Shimizu vessel Blue Wind, which contributed by more than NOK 500 million to the revenue. So excluding that and excluding UWL being included in the third quarter '24 and not third quarter '25 as we successfully sold that last quarter. There is a strong underlying revenue improvement in Wind Service. And we can see that more on the EBITDA on Wind Service, which has an improvement of NOK 142 million. I think if you exclude the Shimizu contribution, the one-off we also now have related to the Ocean Wind termination fee and UWL, we see an underlying improvement in EBITDA in Wind Service of more than NOK 200 million year-on-year this quarter. So on back of that, we come out with an EBITDA of NOK 1.117 billion compared to NOK 938 million third quarter last year, which is an improvement of NOK 179 million. And remember that figure when we move now on to the consolidated summary, so we can start with the EBITDA line. And again, the same numbers there, an improvement of NOK 179 million, and I will briefly comment on other P&L items. Balance sheet, I'll cover on the next slide. Depreciation is down by NOK 36 million. That's really related to a one-off and reversal of an impairment in the media company. So the improvement there is a one-off. Net finance. Interest cost at a quite normal level on a net basis this quarter around NOK 70 million. And then we have these unrealized currency and interest rate effects, mainly related to the interest rate swaps in the U.K. that goes up and down each quarter, but I really point out that, that's unrealized. So -- but also an improvement there of NOK 28 million. So earnings before tax is at NOK 680 million, which is an improvement of NOK 242 million. Taxes are up mainly related to better results. So the net result is NOK 561 million, which is an improvement of NOK 210 million. What is worth noting is that a bigger share of this result flows to the shareholders of the parent, the shareholders of Bonheur because more of the results comes from 100% controlled entities. So the NOK 561, NOK 461 flows to the shareholders of the mother company. So actually, we're delivering earnings per share of more than NOK 10 per share this quarter, which is quite strong. Then final slide for me is the group capitalization per third quarter. First to the left, our financial policy that we obviously reiterate every quarter because it's very important to us. And it's also important to check that we are in line with the financial policy, and we can confirm that our numbers are fully in line with the financial policy. Then going through the numbers. And if we start with the table above with 100% owned entities, we see that we now sit with more than NOK 5.3 billion in cash and close to NOK 3.4 billion in debt, and then a net cash position slightly below NOK 2 billion. So a few things to note there is that Wind Service, we have dividended out the proceeds from the successful sale of UWL and also some dividend up from FOWIC up to Bonheur this quarter. So there is a big change in the cash position between Wind Service and Bonheur ASA in the quarter. And that you will also see in the mother company's results, which are attached in the report that the mother company delivered profit close to NOK 900 million this quarter due to the dividends up from Wind Service. Despite that dividend, Wind Service still sits with close to NOK 1 billion in cash and very little debt left on [indiscernible] around NOK 300 million and net cash position of NOK 675 million. Renewable Energy, that is the Scandinavian wind farms plus the development portfolio is debt-free and a small cash position there of NOK 338 million. Point to note, Cruise Lines paid down the final installment on the seller credit on the 2 new vessels this quarter. So Cruise Line have no -- 0 external debt. So a small milestone for Cruise Lines there. And Earnings are improving. So a cash position of NOK 605 million, also Cruise lines is paying down its debt to Bonheur that they took up during COVID. And then finally, Bonheur, with the refinancing of the bond and the dividends out of wind service sits with NOK 3.4 billion in cash and net debt around NOK 3.1 billion and a net cash position of slightly more than NOK 300 million. So a solid position of what we control 100%. If we look below what we don't control 100% on renewable energy, which is really the joint ventures. Debt of NOK 4.3 billion and NOK 767 million in cash on net NOK 554 million. But remember, this we consolidate 100%, so Bonheur is 51% of this net debt position. Wind Service, it's Blue Tern and also GWS, almost now debt-free in combination and other investments also close to debt free. So all in all, a strong balance sheet, fully in line with the financial policy. So with that, back to you, Anne.
Anette Olsen: Thank you. First to present today is CEO of Fred Olsen Renewables, Sofie Olsen Jebsen.
Sofie Olsen Jebsen: Thank you. This quarter, we saw production lower than the same quarter in '24. There are some reasons for that, the Crystal Rig 1 recovery project, which I've told you about earlier, that has early generation turbines. Also, we have some market reasons at our Swedish wind farm that is ancillary services, low prices and grid export limits in addition to blade issues. We've also seen lower revenues due to lower REGO prices this quarter and REGO's renewable energy guarantees of origin, those are certificates that are issued per megawatt hour produced that can be bought by consumers wanting to offset their carbon emissions. In the last years, we've seen quite high prices on this before they have been decreasing back to the current levels because more renewable energy is coming into the market with subdued demand. Then we also have construction work of our 2 wind farms progressing well this quarter. Our business model, as you have seen before in Fred. Olsen Renewables, outlined on this slide, and there are some changes this quarter that I'm happy to report. If you see under the consented column, we have some projects that have received consent, 2 solar projects, one in the U.K. and one in Italy. In addition, we have received consent for Wind Standard 1 Repower, which is our first repowering project receiving this. And we are advancing and maturing these projects through our normal development process to ensure long-term value creation. Taking a step back and looking at the market, the prices have been steady. We see that there is now lower gas storage levels in the EU, which is a change in regulation there. This means that changes in weather or colder weather for longer times could mean an increase in prices. But what we also do see is that the long-term trends are pointing towards softer prices as there is an expansion of LNG supply. Moving on then to talk about production. The generation was below estimates this quarter. I mentioned the Crystal Rig 1 recovery project with the early generation turbines. This is increasing availability steadily, which is good to see. We've also had the lower production on Högaliden and Fäbodliden in Sweden. That is mainly due to market then shutting down due to low prices and provision of ancillary services, grid export limit and blade issues. In terms of the ancillary services, we have recently entered that market and are offering to turn down production of our wind farms in order to help the system operator, which is [ Svenska Kraftnet ] in this instance to balance the grid. And we see that this provides revenues, and we are offering this service on an hourly and 15-minute basis together with our balancing system provider. The blade issues I commented on the last quarter. We have 3 turbines offline with suspected blade cracks and are working together with the manufacturer to assess and perform necessary repairs. We also see grid outages this quarter. And as mentioned by Richard, we have a planned grid maintenance work at Mid Hill. That has been going on from the 15th of September and will last until May '26. And then we have a further estimated outage of from November '26 to April '27. There is no automatic compensation from the grid owner here. We are working on mitigating actions, especially on shortening the -- trying to shorten the second outage with Technical Solutions there. And I think it is fair to note that this quarter, we actually had more production from Midhill Wind Farm than the previous same quarter the last year. That was because last year, Midhill was out due to a failure at the external Fetteresso substation. That was a highly unusual event. And it is although still quite unusual that we see this length of grid outage that we now are in with Mid Hill and that we also have in front of us. I would like to point out that grid outages are, in general, infrequent. And when they do occur, it's normally due to scheduled maintenance, and it's quite specific for each substation. This outage we are in the middle of now is because of an upgrade of the substation at Mid Hill, which is still quite unusual. And we are notified of all the outages in advance and also monitoring to keep overview ourselves. So moving on then to talk about our construction projects. Crystal Rig IV has good progress this quarter. We have 5 turbines installed, most likely 7 by the end of this week. There has been a delayed transport of components that has postponed the installation start, and that has been due to low capacity on police escort in Scotland. We are taking mitigating actions to this and currently operating with 2 cranes for installing to use all available weather windows. We also saw blade damaged by the storm Amy that was under -- or the blade was under the manufacturer's responsibility, and we are working together with the manufacturer to see how this will might affect us. Then moving on to our second construction project, Windy Standard III, more in the Southwest of Scotland. The project is progressing well as well. We have 2 wind turbines foundations successfully poured. These are gravity-based foundations where you need to pour the concrete and the civil works are progressing according to plan. So that was all for me this quarter. Thank you.
Anette Olsen: Thank you, Sofie. Next is Lars Bender, CEO of Fred. Olsen Seawind.
Lars Bender: Thank you, Anette. Yes, and I will take you through the highlights for Fred. Olsen Seawind this quarter. First of all, we remain confident in our projects. We have good projects in attractive markets with strong political support, both Codling in Ireland and Muir Mhòr in Scotland are in markets with political support and where offshore wind is a focus area in the energy transition. We still, as I have alluded to before, deploy very diligent development strategies on our projects, which basically means that we have focused on having lean spend profiles. We limit pre-FID commitments, and we focus on progressing the projects and creating incremental value quarter-on-quarter. Then this quarter, we have received a request for further information for Codling in Ireland. This will postpone the expected consent determination, and I'll come back later in the presentation to what this exactly means and also put it into the context of the consenting process in Ireland. Then the fourth bullet, we have secured a landfall area and onshore substation area for the Muir Mhòr floating project. This is naturally a good milestone and good progress for the project. I'll also come a bit back to that later. So as I mentioned before, we are in the consenting process in Ireland with Codling. We submitted our consent application last year, and we have now in this quarter, received a request for further information. That request for information will postpone the expected consent determination. The content of the request for further information is a range of surveys, including offshore surveys, which we have to conduct. Then we have to, on the back of that, analyze the data and then put it into a report, which needs to be submitted to the consenting authorities. It's important to note that other Phase 1 projects have received similar requests for information, and we very much see this request for information as a clear sign from the Irish planning body that they want a diligent and process and very robust consent determinations at the back of that. So we have already started this work and we will naturally continue this at pace. Just to maybe recap the process around consent in Ireland because I think it's important to put this RFI into context. First of all, the RFI was from our perspective, expected. It is quite usual in offshore wind to have a request for further information. And also in Ireland being a new offshore wind regime and a new planning body, it was also expected in that context. As I said before, we submitted our consent application last year. That was then sent into consultation. And now we have received this request for further information from the government. On the back of that, the planning body will make a consent determination, which is basically the planning body's decision on our application. There is no fixed time lines to that, as I've said before on the quarterly presentations. And when the consent determination is issued, there is in Ireland, a risk of judicial review, which basically means that any person or any company can challenge the government's decision. We will not be parties to such challenge, but it is a risk that's sitting on the back. So this process, as I've said before, has some time uncertainty attached to it. But it's important to note a couple of things in that connection. First of all, our development strategy, as I mentioned before, we have been expecting that we had to be flexible in relation to timing. So we have been geared for that. Secondly, on the financial side, we have 100% indexation of our CfD until FID. And then I think thirdly, and that's my third bullet, we are in an environment in Ireland with a government with strong support, which also very much are supporting the build-out of offshore wind and taking measures to support the industry, which, again, of course, gives us confidence in the project. That leads me to the fourth bullet. We are still pushing ahead with the project and preparing all procurement processes and engineering and so forth for the project. So we are ready on the back of the consent determination to move the project forward towards FID. If we then go to Scotland, as I said before, we have secured land for both landfall and onshore substation this quarter. This is something we've been working on for a while. The area where we are connecting in north of Peterhead is a very attractive area for connection, and therefore, it has been important for us to be one of the first projects to secure this area because it is, of course, a very important precondition to develop the project that we have access to land and grid. Secondly, consent is progressing as planned. I said before that we received the onshore consent and we're awaiting offshore consent. When we have the consent, we are basically in a position to bid into a CfD auction. So currently, I would say the pieces of the puzzle, consent, grid, land are falling into place, and that also very much supports the strategy that we have deployed of being one of the first mover projects on floating wind in Scotland, and that continues to be our direction and also what we aim towards. And with those comments, I'll give the word back to you, Anette.
Anette Olsen: Thank you. Per Arvid Holth, CEO of Fred. Olsen 1848.
Per Arvid Holth: Thank you, Anette. So as mentioned by Richard and not visible on the first slide there, we'll focus on floating solar. And the backdrop for this presentation is that earlier this month, the International Energy Agency updated their annual report on renewables. So we'll allow ourselves to zoom out a bit and go through some of the results. So on this slide, I think we'll jump to the graph on the right side. This is one of the main conclusions to me. This is showing the actual product, the electricity produced until today and expected to be produced from renewable energy sources until 2030. If we look at wind first, then this shows a good momentum both in offshore and onshore wind as well, but it's solar that is sticking out, having started a significant momentum today, and that is expected to continue until 2030. So if we compare the sources a bit here, then more terawatt hours of electricity will be produced from solar than from onshore wind this year already. combined onshore/offshore will be surpassed by solar next year. And in 2028, 1 year earlier than was projected last year, it is expected that more electricity will be produced from solar panels than from hydroelectric plants around the globe. So that is quite significant. I also added the capacity expectations of installed capacity until 2030. And it's a bit more complicated looking at that when it comes to electricity production. But it gives an indication of how much solar needs to be installed to produce the power that is visible to the right there. And it's a significant amount. It's around 3,600 gigawatts, which is expected to be installed until 2030. So in conclusion, by 2030, amongst renewables, solar is expected to become the largest source and it will require a significant amount of panels. So then the question is whether the supply chain can supply those panels. So that is the next slide. And there are 2 things here. One is that the short answer is really yes. The panels -- panel production capacity is there. Already, there has been a significant increase in growth, but the utilization of the production facilities in the supply chain is quite low. And this fierce competition that exists, that has also resulted in a significant drop in prices. So it is -- now the global spot price is down to $0.09 per watt peak, and that is quite affordable. So if you add then that -- when it comes to solar PV, it's usually quite easily installed and it's available and quite affordable, then that is why that growth is picking up as shown in the first slide. But it does require a lot of area. And if we go then to the next slide, where does that leave us, 1848 promoting our floating solar technology, BRIZO. We, of course, see this as very positive. Solar PV is area intensive, and we see that the market for utilizing water surfaces for installing solar PV is growing. So that is positive. But of course, with the amount of solar that is expected, we believe that it's important that there is a high flexibility in the application areas and our technology can facilitate that, either utility scale in hybrid setups with hydro or storage or indirect industrial applications as well. So all in all, these offer a stable and flexible and robust solution, which serve the application areas that we see for floating solar and has a potential for opening up new areas. So that is it. Thank you.
Anette Olsen: Next in line is Samantha Stimpson, CEO of Fred. Olsen Cruise Lines. And Samantha, you're joining us on Teams this time. So please go ahead.
Samantha Stimpson: Thank you. Good morning. So an update from Cruise Lines. We've seen growth in revenue and EBITDA. This is through improving our occupancy and our yield as well as putting some cost control measures in place. I'll also update you in a bit more detail from customers telling us that they are happier, and that's through measurements of customer surveys, focus groups and the introduction of Net Promoter Scoring. And I'm also pleased to announce that the future bookings performance is good as well. If we move on to the next slide, I'll be able to talk you through some details. So our passenger numbers are up 19% in quarter 3. This is predominantly due to us taking the decision to introduce more shorter duration sailings. This was a decision taken to encourage new to Fred. Olson cruise line customers, introduce them into the business as well as giving our loyal customers more choice to sail with us during the summer months. And I'm pleased to say this has worked. Our occupancy in quarter 3 was up to 81%. And it's easier to achieve that through the warmer months of quarter 2 and quarter 3. So it was a good decision. If we then look at our yield performance, yield has improved by 13%. And this is due to some product mix. Every year, our itineraries and destinations and durations across the fleet change. In addition, we've made some decisions around how we manage our revenue performance pre-cruise and during the cruise. And all of the above initiatives have supported the growth that you can see here with our EBITDA. If I then talk to you about Net Promoter Score, I'm pleased to say this has increased from 68 -- from 63, sorry, to 68. That's a 5-point improvement in Net Promoter Score. We are investing a lot of time to understand where we need to make improvements with our customer satisfaction. And this is to ensure that we are improving retention and satisfaction rates. We're making good progress, and this is something as an organization, we are committed to continue to improve. If we look at the forward sales, during quarter 3, we had our 2027 World Cruise on sale. We had the rest of 2025 to continue to sell, and we had the year of 2026. And I'm pleased to say that a big focus on 2026 has driven the improvement in the forward sales performance that you see here of plus 12%. We understand in the organization the importance of filling our ships, and we understand that one of the best ways of doing this is to ensure that we get guest commitment further in advance. And if we move to my final slide, you'll be able to see during quarter 3, the number of departures that we took for each of the vessels and some of the key destinations that we visited. And what I'd like to highlight is that Norway continues to be a positive performing destination as did the U.K. during the period of quarter 3, and that's predominantly supporting the shorter duration cruises that we've been able to see improvement in occupancy through. And that's it for me. Thank you.
Anette Olsen: Thank you, Samantha. Haakon Magne is now standing here to talk about Fred. Olsen Wind here.
Haakon Magne Ore: Thank you, and good morning. Very happy that I can start the summary, as I've done the last time by reporting about a very good performance also this quarter. The vessels that has operated has been above 99% utilization, and we are delivering one of the best financial performance in the history. Further on the positive side, we have, during the quarter, signed 2 new installation contracts for installation in '27 and '28, respectively. And on the market, I think we reiterate what we have said for the last year that there is an increasing volatility on demand side, which impacts visibility and some uncertainty towards the end of the decade. If we go down to what the vessel has done during the quarter, Bold Tern that commenced the work offshore under the Saipem drilling campaign. It took almost 5 months to make the vessel ready for operations with all the equipment and is now performing well offshore. Brave Tern went into yard to do the same work as we did on Bold Tern to prepare her for a generic 3 turbine sea fastening setup with 15-megawatt generator. So we can easily switch between the different models. We also had to do some carryover work from our stay in Navantia on the crane upgrade last year. Blue Tern, it completed its second major on campaign with Siemens this quarter and went straight in direct implementation over to a third campaign with Vestas early October. Blue Wind, there, we completed the Hai Long in the quarter. If we then go over to the financials, as I said, good performance and good results. We had one vessel in yard. That's why we only were able to sell 67% of the days. But of the 67 days we were able to sell, we got paid over 99% of it. And that is decent. On the revenue side, we had revenues of around NOK 60 million with an EBITDA of close to NOK 43 million. Just note, I think, as Richard also mentioned, that around 4 of those are related to some -- the last accounting effect of the termination fee of a contract that was terminated in 2024. If we look to the bottom right of the slide, you see the development of annual performance. And year-to-date, we are close to 2024, which was a record year for us. So that is good. If we then go over to the market and the backlog slide. Yes, that appears not to be included in the slide. But I can take it anyway. If you see, I think order intake for the general industry has, to a larger extent than normal been driven by delayed projects and major O&M campaigns that has been triggered by quality issues on some of the turbines. But I think we are then happy to report that this quarter, we actually signed 2 contracts. We signed one contract for installation in 2027, and we signed a preferred supplier agreement for execution on the Gennaker project in 2028. Both contracts are for more than 60 turbines. Our backlog for the quarter stands at NOK 360 million, slightly up from last quarter. But please note that, that does not include the reservation agreement as we do not report that in the backlog to the market. On the market, as I think, we are giving the same measures as we have done now for some time. You see in the medium term, there is very limited vessel availability of the high-spec vessels. So their impact on the demand side could have a quite strong impact on the outcome. The uncertainty and the issues that we see in the offshore wind value chain in general industry, again, that impacts the volatility of demand. And that we continue to see. But given the lead times in our industry, that doesn't impact the next year performance. So it's more impact the end of this decade. But I think this is the pick we have seen for some time. So the trend is the same in this quarter as we have seen before. So I think that concludes my comments. Then I give it back to Anette.
Anette Olsen: Yes. Thank you. We will now open up for questions. So please.
Operator: [Operator Instructions] We will now take the first question from the line of Daniel Haugland from ABG Sundal Collier.
Daniel Vårdal Haugland: Congratulations on great results, even though it's been maybe a little bit difficult quarter for some of the businesses. I think it's still great results. I have 4 questions. I think I'll just do them by segment. So just kind of a simple question on renewable energy. So the grid outage at Midhill, why is that not compensated given that -- yes, it's a grid outage, which seems to be controlled by someone else?
Sofie Olsen Jebsen: In general, grid outages are not -- or planned grid outages are not compensated in the industry. Those are due to maintenance. In this case, it's upgrades of the grid. And yes, that's how it is.
Daniel Vårdal Haugland: Okay. And then one question on Sea Wind. So the Codling consent, if I heard correctly, that is -- it's postponed a little bit. So I don't know if are you able to give any comments on when a potential FID on that project could happen? Obviously, I'm asking for kind of guidance here, but kind of more like are we now into maybe a '26, '27 decision or maybe even later?
Lars Bender: I can, of course, understand the question, but we cannot guide on the FID time line. As I said earlier in the presentation, the process does have uncertainty attached to it, and we are dependent on the government in relation to this. So we are currently awaiting the determination. We are handling this RFI now where we have extensive surveys we have to do. We have to analyze the data. We have to submit it back. They need to issue the determination, which then again has uncertainty around whether it will be subject to a judicial review or not. So for me, to give an indication of FID would be very arbitrary at this point. But it is important to say that we remain confident in the project and the diligent development strategy that we are deploying currently for the project.
Daniel Vårdal Haugland: Okay. And then I have one question for Haakon Magne on Wind Service. So just on the demand picture right now, you touched a little bit in on it being volatile. But if I'm kind of just thinking a little bit loudly here, so Ørsted canceled Hornsea, Hornsea 4 earlier this year. We're seeing Vestas and Siemens Gamesa now pausing expansion at some offshore wind factories that they planned. And we also saw Maersk cancel and almost finished WTIB. So other than kind of just the very short to medium term here, how do you see kind of the outlook a little bit more out? Is it possible to give any kind of comments around this?
Haakon Magne Ore: Yes, thanks for the question, but I think it's a very hard question to answer. But I think I would like to start, I think that the main drivers behind offshore wind is still there. We see that the government in the key areas that building offshore wind still is supportive for the industry. We still see new countries coming in with plans. But unfortunately I think every industry has a tendency to get some growth. So I think it's very hard for me again to explain when exactly this growth then will come back into the growth trajectory. So I think it's a good question, but I think it's very hard for us to answer.
Daniel Vårdal Haugland: Okay. I appreciate you don't have the answer, but do you kind of agree that the, should I say, 2028 to early 2030 picture looks a little bit different now than it did, let's say, 1 year ago or you don't see it that way?
Haakon Magne Ore: No, I think we have been quite consistent in our focus on this last year on the quarterly presentations.
Daniel Vårdal Haugland: Okay. And then I have a last question, and then I'm going to hand on to the line. I think this maybe will be for Richard. So you now have a lot of cash, and I've been asking almost the same question for a couple of quarters. But given that the outlook for offshore wind might have deteriorated a little bit at least in kind of the period I mentioned. Have you kind of changed any view on, for example, ordering a new wind vessel? Are you kind of able to share any thoughts with shareholders on what to do with the cash?
Richard Olav Aa: Thank you for the question, Daniel. I think I'll then just relate to our capital allocation policy that we spent quite a bit of time with the Board to develop during the winter and that we announced in connection with our annual report, where we obviously are very aware of our duties of maximizing shareholder values and balancing what we invest in to secure that they create good value up against distribution to shareholders. So that is our starting point. Having said that, a lot of cash is relative. If we look at the capital intensity of the industries we're in, one single investment can easily relate to several billions of kroner. Just an example as wind farms, not the biggest wind farms in the world, but still sizable wind farms, but NOK 3 billion approximately in gross CapEx just on those 2 wind farms. You also have to put the cash position relatively to the investment sizes we are facing. But again, I'd like to reiterate to all listening to this call to read our capital allocation policy because you'll find very valuable information there about the thinking of the governing bodies of the Bonheur Group of companies.
Operator: We will now take the next question from the line of Ral Hardison from Clarksons Securities.
Unknown Analyst: Congratulations on a very strong quarter. I want to touch a bit on the Cruise segment. So your occupancy there stood at 81% this quarter, as far as I can see, the strongest on this side of the pandemic, but still a little bit behind what you saw during the strongest quarter before the pandemic, which could reach into the high 80s. So with that in mind, do you think there's still room to lift occupancy further for the cruise segment as bookings seems strong? And do you believe that the high 80s figures that we occasionally saw prior to the pandemic still is attainable for the summer quarters going forward?
Anette Olsen: I think Samantha is there, hopefully, to answer your question.
Samantha Stimpson: Thanks for the question. Yes, occupancy and retaining the focus on filling the ships is a priority for us within the organization. Definitely continuing to improve the increase as high as we can to the top part of the 80s, as you referenced pre-pandemic is something that we are focused on. Just to also reiterate that part of our focus as well has been to introduce additional sailing volumes. So that's where the passenger growth has come from. We've increased the number of sailings as well as trying to fill the vessels. So sometimes it's not a like-for-like comparable, but it is something that we're focused on finding the balance for sure.
Unknown Analyst: And then on, I guess, a continuation of the question that was asked previously, but you are making quite substantial upstream dividends this quarter, freeing up cash to the parent company level. And I'm not going to ask about the return of -- or potential return of capital to shareholders because I think that has already been addressed. But should we view this as a step to increase flexibility and potential reallocation of capital within the group? And of course, I appreciate that you can't give any details there, but any color here is welcome.
Richard Olav Aa: I think.. Yes. I think the distribution of dividend up to the parent comes also fully in line with our financial policy. Excess cash should not sit on the balance sheet of the subsidiary. It should be upstreamed to the mother company as then the mother company will have full flexibility in future capital allocation and can also do a better treasury activity than having excess cash spread around in the system. So the upstreaming of the UWL proceeds and the dividends out of FOWIC is just a normal upstreaming according to the capital allocation -- sorry, the treasury and financial policy. So it's nothing more than that.
Operator: [Operator Instructions] We will now take the next question from the line of Helene Brondbo from DNB.
Helene Brondbo: I have 2 ones on FOWIC. I can just start with sort of -- I just want to understand or maybe if you just could address sort of how are you addressing the situation with the higher uncertainty in FOWIC? How do you approach that when going into tenders, contract negotiations, et cetera? Are you, for instance, doing any planning for maybe taking on longer-term O&M agreements to secure a baseline of utilization? How are you thinking around this?
Richard Olav Aa: I think we all think a lot of what we are doing, not necessarily in this situation. But I think it's hard for us, I think also back to Bonheur's general, I think it's very hard for us to comment on what we going forward.
Helene Brondbo: Okay. I fully appreciate that. And I also wonder what -- in light of this, what do you see as a general trend in day rates given this market volatility?
Richard Olav Aa: I think the market is well functioning, but I think we do not never go into details or into specific day rates neither on what we have or what we are bidding. But in general, we see a healthy market.
Helene Brondbo: So you would say that day rates in the market are keeping up with levels seen before?
Richard Olav Aa: I'm not saying anything. I'm saying that I think we do not comment specifically on day rates. You are saying that, but I'm not saying that.
Operator: Thank you. There are no further questions at this time. I would like to hand back over to the speakers for closing remarks.
Anette Olsen: Okay. Thank you very much, everybody, for joining us today, and have a nice weekend.